Ben Schwarz: Hello everyone, and welcome to Fusion Fuel Green’s Third Quarter Investor Update. My name is Ben Schwarz, and I’m Head of Investor Relations at Fusion Fuel. I would first like to remind everyone that this call may contain forward-looking statements, including, but not limited to the Company’s expectations or predictions of financial and business performance, which are based on numerous assumptions about sales, margins, competitive factors, industry performance, and other factors, which cannot be predicted. Forward-looking statements are inherently subject to risks, uncertainties and assumptions, and they are not guarantees of performance. I encourage you to read disclaimer slide in the investor presentation for a discussion of the risks that may affect our business or may cause our assumptions to be proved incorrect. The Company is under no obligation and expressly disclaims any obligation to update, alter or otherwise revise any forward-looking statements whether as a result of new information, future events or otherwise, except as required by law. So, thank you all for joining us today. I’ll just briefly run through our agenda for the next hour. We’ll kick off the call with some remarks from Fusion’s Chairman, Jeffrey Schwarz. Then, our management team will share third quarter highlights and financial results along with a business update, and finally, a recap of our progress against key 2021 milestones. We’ll then open the floor up for 20-25 minutes of Q&A. As in our previous quarterly calls, all questions must be submitted in the chat box in the webcast platform. For those of you who have dialed in and have questions for management, please direct your questions to the Investor Relations inbox at ir@fusion-fuel.eu. So, with that, I’ll pass it over to our Chairman for some opening remarks.
Jeffrey Schwarz: Hello. I’m Jeffrey Schwarz, Chairman of Fusion Fuel Green, and it’s my pleasure to welcome you into this Q3 investor update. Before I turn it over to the management team, I’d like to offer some high level thoughts. Most importantly, I would say, I could not be more excited about the opportunity that Fusion provides to help change the world and in so doing to also generate extraordinary returns for its shareholders. I hope at the end of today’s call, you’ll feel the same way. Now, unfortunately for our share price, Fusion does not make electric flying taxis. The good news is that Fusion does have proprietary and proven technology for producing green hydrogen. And that’s a market with a strong wind at our backs. The private sector has finally realized the importance of decarbonizing economic activity. And so, the level of inquiry and interest that Fusion is experiencing across geographies from potential customers for either our technology or for our green hydrogen has never been greater. Simultaneously, the public sector has arrived at the same realization about the importance of combating climate change. And so, governments around the world are making billions of dollars, euros and pounds available in grants and subsidies to jumpstart a global hydrogen economy. In other words, Fusion is well-positioned in a market that should experience a steep growth trajectory for many years to come. Now, unfortunately for our share price, Fusion is not looking to make electric pickups and SUVs like $150 billion market cap company we all know of. On the other hand, Fusion does not face a handful of behemoth competitors who’ll be fighting tooth and nail to retain market share, and who benefit from significant legacy infrastructure. While a number of Fusion’s competitors are somewhat larger, the market for electrolyzers is nascent, and from my perspective, entirely up for grabs. Fusion and our combined CPV microelectrolyzer technology gives us a differentiable edge versus our competitors. How? You might ask. Well, unlike blue hydrogen, our integrated solution is not dependent upon natural gas as an input. Unlike traditional centralized electrolyzers, our integrated solution is not dependent upon electricity from the grid as an input. And even if electricity comes from renewable sources, its price may be influenced by the market setting price of gas-fired generation. And the price of carbon under present and future emissions trading regimes adds another layer of uncertainty for the cost of hydrogen as exposed to natural gas at any point in the value chain. Given the volatility of the price of natural gas and of the price of electricity from the grid, and of the price of carbon offsets, the Fusion solution can provide a consumer of hydrogen with certainty of cost, a feature many of the potential customers we’re speaking with find compelling. What’s the differentiable solution that addresses what will soon grow to be a huge market and with an enterprise value net of cash of little more than a $100 million, I’ll just leave it up to each of you to draw your own conclusion as to whether you find Fusion shares to be an exciting risk reward opportunity. With that, I’d like to turn it over to Frederico Figueira de Chaves, Fusion’s Chief Financial Officer to walk you through our third quarter update. Frederico?
Frederico Figueira de Chaves: Thank you very much, Jeffrey. Good afternoon, everyone, and thank you for joining us today. I will take us through the financials, and I’ll try to keep it short. We’re very excited to get to the latest news from our business development team that we have for you today. As previous quarters, I will briefly recap on what Fusion Fuel is all about, just in case there’s anyone new on the line. So, bear with me. At Fusion Fuel, we’ve created an integrated solar-to-hydrogen solution. It’s based on a proprietary miniaturized PEM-based electrolyzer, combined with a concentrated photovoltaic solar panel that you see on the bottom left. So, we attach our miniaturized electrolyzers directly to the panel, leading to a modular and scalable system that can deliver highly competitive green hydrogen. Our system is off-grid, and thereby immune to the energy market volatility that we’ve been seeing recently. I want to touch a bit on that volatility at the moment, because this year we’ve seen significant disruption in the global hydrogen industry overall. Until recently, companies needed to consider paying a significant premium to decarbonize their hydrogen production. With the huge increases in the price of natural gas, particularly in Europe, both grey and blue hydrogen production costs have more than doubled. And this is even before, including carbon charges, which are only expected to increase, in particular in Europe. In this market of today, green hydrogen is no longer a premium product. The elements of the green hydrogen market have also been affected with the recent developments in the energy price. For example, a PEM-based system using energy from the grid has seen the energy cost of producing hydrogen rising to around €7 per kilo at power prices of €140 per megawatt hour as was the case towards the start of this month. But just to know, only yesterday, power prices in Iberia were at around €200 per megawatt hour and above. This would lead to cost of over €10 per kilo in energy costs alone for electrolyzer plant that is connected to the grid. The way forward in this industry is crystal clear: Green hydrogen must be produced with off-grid solutions, like our own HEVO-SOLAR units. This is the only way that green hydrogen can be stable and competitive. I’ll provide a brief overview of the third quarter financial highlights and the latest developments, but I will be brief, focus mainly on those that won’t be covered later in the presentation by João. So, Q3 saw a significant development in our relationship with clients. In particular, we signed contract to sell -- to do our first tech sale. So, the first HEVO-SOLAR plant and hydrogen fueling station with Exolum in Madrid in Spain. We also received three approvals of grants on three different projects for involving Fusion Fuel technology. And we’ve started the licensing process for eight different green hydrogen projects in Portugal and Spain. As far as we can tell, this is the most of anyone so far, no one that we’ve heard of has eight green hydrogen projects in the licensing phase at the moment. From a technology perspective, we’ve been producing green hydrogen in Evora for several weeks now. We currently must release it into the end until the plant has been commissioned for the system is live. We’ve also independently verified the hydrogen production with fantastic results and that we’ve seen results above our planned system efficiency levels. To focus a little bit on the team buildout. Throughout the year, we continued to build the strength of our bench for Fusion Fuel with recent senior hires being André, our Chief Production Officer; Mario Garma, our Head of EMEA, and David Lovell, our Head of Australasia among others. This is a trend we expect to continue well into 2022. We want to focus on building our team and we’ll do so to position us for the growth we expect to capture. For our quarterly financial results, as expected, our top-line remains devoid of client activity as all the projects we are currently installing are fully owned by Fusion Fuel. So, we will only recognize the revenues from these investments, when the projects go live and we start selling hydrogen. Going forward, we will not book revenues or cost of sale entries on raw materials that are consignment stock between Fusion Fuel and our production partner as we have done in Q1 and Q2. So, we’ve removed that from the revenues and cost of sales to make sure that we avoid any confusion between what is relationship with clients versus consignment stock. Our operating costs are significantly impacted by non-cash expenses. Once again, these are related mainly to the share-based payments from the earn-out considerations from the merger last year. These will continue until the end of June 2022, and as I mentioned for this, non-cash expenses on that first line under the total operating expenses. Cash based operating expenses saw an increase, driven by the growth in the teams, as I mentioned before, by also increased professional service costs, this ranging from legal, insurance, all the way to laboratory and engineering work done across the -- sorry, laboratory costs. Our pre-tax profit was driven by an adjustment of the fair value of the warrants with a positive impact of €7.5 million. This is a non-cash item to our P&L. Our cash balance at quarter-end was just over €42 million. The main uses of cash in the quarter was investments into raw materials and securing our supply chain, investments and development of our Evora plant, renovation work performed on our Benavente facility, and then payroll and soft costs. From an outstanding shares position, we remained unchanged. Although in the third quarter, we did issue restricted stock units to 26 employees as part of a new equity incentive plan to align those individuals and teams with shareholders, as well as to serve as an incentive and retention tool for the firm. We do expect to use these RSUs going forward, both as a rewards tool, as well as a way to attract talent. At the start of the year, we highlighted the following three key milestones for 2021. The Evora plant go-live, this is our industrial scale demonstrator. So, this was key for us, and we’ve now been producing hydrogen there, as mentioned before, for a few weeks, if not months now. These signing of MOUs, HPA contracts or hydrogen purchase agreement contracts, as well as tech sales, I mentioned some of those before and João will build on that in a little bit. And then, establishing our own highly automated production facility. Last quarter, we focused on production, and we provided updates on timings and volumes. This quarter, we’ll focus on business development as the production facility build out continues. So, as much before with Evora, we’re pleased to report that we’ve completed the construction of Evora and the development of that Phase 1. We’ve now requested the commissioning of the plant, so that it can go live. Hence that status is nearly fully agreed. Phase 2 civil construction is complete, and the trackers are fully installed. We will roll out HEVOs or miniaturized electrolyzers as the supply membranes allow over the coming weeks. With this, I will now pass over to João, who will update you on some of the projects, fundings, and licensing that we have going on.
João Teixeira Wahnon: Thank you, Frederico. Let me thank you for attending our quarterly results presentation. The past months were especially active in the pursuit of our strategic plan to develop green hydrogen project which we find as a priority, the negotiation of MOUs and HPAs with some of the world’s leading companies involved in the oil and gas business and the money business. This led to the closing of the first HPA and tech sales contracts in Portugal and Spain, respectively. The project in Portugal -- in Portugal, we are happy to announce that our HEVO-Sul project in Sines was one of the first green hydrogen projects that got funding approval from POSEUR, which is Portugal’s operational program for funding sustainable and efficient use of resources. The project consists of installation of 178 HEVO-SOLARs to produce 418 tons of green hydrogen per year to be mixed and injected in the natural gas pipeline and produce also green ammonia. The project has a global investment of around €8 million and will receive a grant of €4.3 million from POSEUR during the construction phase. A land of 30 hectares was secured, out of which 10 hectares will be used for the installation of the project, which is under process in local authorities and national environmental agency. We expect to start construction until the end of first semester of next year and commission the project until the end of next year. Fusion Fuel is also involved into additional projects that were also approved by POSEUR. But in this case, we will act as technology provider. We then expect tech sales of around €5 million. When fully installed, the three projects will represent the installation of 304 HEVO-SOLARs. And altogether, we will reach a capacity of 7.5 megawatts. In Spain, we signed a contract with Exolum, a leading European fuel logistics and storage provider to develop a solar to hydrogen plant to supply green hydrogen in the region of Madrid. It is the first third-party sale of HEVO-SOLAR units, which will also produce and supply green hydrogen to one of Spain’s first hydrogen refueling stations. The Exolum project in Madrid consists of the installation of 21 HEVO-SOLARs to produce more than 40 tons of green hydrogen per year. And being 20 tons produced during daytime by direct conversion of solar radiation into green hydrogen and additional 20,000 during nighttime using electricity of source. The green hydrogen produced will be used in a hydrogen refueling station designed to supply fuel cell electrical buses. This project is strategic for Fusion Fuel because it’s the first of several other projects we have under development to produce and supply green hydrogen to hydrogen refueling stations. In Morocco, we are developing the green -- the HEVO ammonia project in the region of Agadir Souss-Massa together with our strategic EPC partner -- in the region, called CCC, Consolidated Contractors Company. The project targets to produce 31,000 tons of green hydrogen to be used in the production of 180,000 tons of green ammonia. That will be shipped from Agadir to two ports in the north of Europe, where will be commercialized directly to potential industries, willing to decarbonize their activities, or will be tracked to obtain again green hydrogen, which will be blended in natural gas and injected in the pipelines from the north of Europe. Vitol, one of the world’s leading energy and commodities companies, will manage the offtake of the green ammonia. The land of 6 hectares to install the project is already secured. And the project recently got the -- obtained their first authorizations from local authorities. We expect to start construction of Phase 1, consisting of 200 HEVO-SOLARs during the first semester of next year, with the aim to commission all the plants, meaning Phase 1 until the end of the year. Fusion Fuel defined a very aggressive strategy to develop the maximum green hydrogen projects possible with the aim to submit them to funds available worldwide for decarbonization of the industry. Those funding programs are currently available mostly in Europe, Australia and USA. As part of the strategy, we were happy to receive the confirmation that our green hydrogen project in Sines was one of the three projects selected by the Portuguese Government as IPCEI project, which means Important Project of Common European Interest, from a selection of initial 76 projects. This is a very important achievement in the Company’s strategy to develop green hydrogen projects and submit them to European funds available. In the next several years, the funding problems are crucial to allow reaching a low levelized cost of hydrogen to compete directly with the actual prices of brown and grey hydrogen available. In Portugal, we submitted proposals for the POSEUR where out of €40 million cost, the three projects were submitted and approved, and we will receive a grant that all together will reach around €10 million of tech sales. Recently the Portuguese government launched the PRR, which means European fund for recovery and resilience, which components for decarbonization reaches more than €2.4 billion. We submitted six projects through the first call, maybe as Component 5, that all together will represent around the €176 million tech sales. We are preparing three projects to be submitted until the end of this year to the Component 14, hydrogen and renewable gas production, which all together will represent around €45 million in tech sales. Additionally, we are preparing a green hydrogen project in Sines to be submitted to the Innovation Fund call until 3rd March next year. In Spain, we were involved in seven projects that will be submitted to the MOVES II funding program for sustainable mobility, until 25th November this year. This funding program includes €100 million to award grants for decarbonizing mobility. Recently the Spanish government also launched their own European fund for recovery, transformation and resilience, which component for decarbonization reached more than €5.1 billion of fundings. We are developing several projects to be submitted to the components for renewable hydrogen, sustainable mobility and trans-European transport. These projects will produce green hydrogen to be sold to industrial off-takers, either directly or blended in the natural gas pipeline and to hydrogen refueling stations. Additionally, we are preparing a green hydrogen project in the south of Spain to be submitted to the Innovation Fund call on March 2021 (sic) [2022]. Given the significant project pipeline in place, Fusion Fuel has secured a sustainable amount of lands in Portugal, Spain and Morocco. In Portugal, we secured more than 1,100 hectares of land in several places, like Sines, Evora, Portalegre and others. Out of those projects, six of them are already under licensing process. In Spain, we secured more than 1,300 hectares in [indiscernible] Toledo, Córdoba, Madrid out of those projects, two of them are already under the licensing process. In Morocco, we secured 650 hectares in Agadir, region of Souss-Massa, where we are developing the ammonia in Morocco.  Fusion Fuel started activity in Europe through Fusion Portugal, more precisely developing business in Portugal, Spain, France, Italy, and Greece. Morocco was included in Fusion Fuel Portugal strategy due to the importance of its market for the development of green hydrogen projects and the good commercial relations we have for several years now. We then incorporated Fusion Fuel Australia and established a joint venture with Ampol to develop the business in the country. We also incorporated the Fusion Fuel USA with the aim to develop projects and support our activity in South America, more precisely in Chile, where there are big projects of green hydrogen and green ammonia today. Additionally, we are looking for two new markets, which is the GCC countries, more precisely, United Arab Emirates, Oman, and Saudi Arabia, where already exist huge projects under development to produce green hydrogen, and India where the government defined an ambitious national hydrogen mission to decarbonize oil refineries and fertilizer production, that will lead to the needs of enormous quantities of green hydrogen.
Frederico Figueira de Chaves: Great. Thank you very much, João. So, as you can tell, all-in-all, it’s been a very exciting few months, a very busy few months, with significant progress on all sides. As I mentioned before, Evora Phase 1 completed and at the commissioning stage, we now expect the discussions with clients and partners to continue to accelerate. In particular with the recent disruptions in the natural gas and energy markets and the renewed commitment to de-carbonization around the world, we’ve seen more and more people approach us and reach us to look into potential projects. It’s been extremely exciting and a very busy time to be in -- I’d say, in the business development team at Fusion Fuel. But before we go into Q&A, just to note, the market for green hydrogen is truly getting launched now. We’re in a prime position to have a significant impact in its creation. And we see this as an extremely exciting time to be at Fusion Fuel. We’ll look forward very much to updating you on our progress with each quarter. It’s been a fantastic ride and I believe 2022 will only be more exciting. So with that, I will open up for Q&A. João and myself are on, Jeffrey is on as well. And Ben will moderate the Q&A.
A - Ben Schwarz: Thanks, Frederico. So, we do have a handful of questions that came in and a few more via email, encourage anyone to submit their questions, if they have any more, but I’ll start from the top. There was a question that came in around expected production capacity for HEVO-SOLARs next year in 2022.
Frederico Figueira de Chaves: So, this will very much depend on the exact timing of the go-live of the Benavente plant, something that we still continue to discuss with the providers of the machinery that’s going in there. We gave guidance last time to look to produce between 2,000 to 2,500 units. At a push, we would expect to still be possible to achieve that. Realistically, we would likely come in somewhere below that, mainly also partially due to the timing that it takes to get our projects licensed. So, the idea here isn’t to produce and produce and produce and have it all sitting in warehouses. We hopefully will time these with the -- as the projects get licensed. So, we still continue with our between 2,000 to 2,500 guidance until we notice otherwise.
Ben Schwarz: Next question was around Phase 2 of Evora, the timeline for completion.
Frederico Figueira de Chaves: So, we’re hoping that towards the end of the year, potentially the first couple of weeks of January will be exactly the same position as Phase 1 now asking for its commissioning. This also depends on just the arrivals of the membranes. So, as soon as HEVOs are in, we will ask for the plant’s commissioning. The main purpose of the both Evora plants or proof of concepts of the technology on industrial scale, we’re already able to get what we need out of the Evora with Phase 1 at its current stage.
Ben Schwarz: Great. Question that came in via email, in light of the addition of the new Head of Australian operations, if you could provide an update on Ampol, that project, and when you’ll be able to ship the units to Australia?
João Teixeira Wahnon: So, the project with Ampol, it’s under permitting. We have already all technology ready. We expect to ship technology early December. Of course, in these projects of green hydrogen, permitting process is something that we don’t exactly control the timings. But nevertheless, we will ship the technology and we will prepare everything to start construction as soon as we have the green light from the local authorities.
Ben Schwarz: Piggybacking on that, with the new additions, is the executive team build out now complete, or are there additional hires that you’re looking to make?
Jeffrey Schwarz: I would say that firstly, we are looking to add a senior leadership to Fusion USA. The U.S. is an important potential market for us, especially with the recent passage of the infrastructure bill that will provide funding opportunities for green hydrogen. But bottom-line, U.S. is going to be a large market, and we need to have a leadership team in place. And that’s something that we’re very focused on. More generally, people are the key to us being able to both, market ourselves globally, to be able -- to be interfacing with customers and installation to be advancing our technology. So, while with the addition of a senior leadership team in the U.S. that probably rounds out the needs at senior management. We are still actively adding to our talent in -- especially in the R&D area, in the area of then progressing the R&D developments into industrialization and development. And of course, our Head of Production is building out our team that will be overseeing production at Benavente facility. So, you should expect to see us continuing to add folks, both at the senior management level here in the USA, and then mid-level throughout the organization.
Ben Schwarz: Great. Thank you. A question around off-takers for the hydrogen that’s being produced at Evora, or that will be produced at Evora.
João Teixeira Wahnon: Okay. So, Evora has three off-takers. So, the Phase 1, as mentioned before, it’s a project where we will produce the green hydrogen, and the hydrogen will be stored and then will be converted into electricity using the fuel cell for that purpose. So, the off-taker is the electrical national grid. When it comes to the second -- to the Phase 2 of the Evora, we have two off-takers. The first off-taker is the natural gas company called the Galp Distribution, which we will produce the green hydrogen, and it will be blended in the natural gas pipelines of Evora city. The third off-taker, this will come from the Phase 2 project of Evora. We will start the green hydrogen bottles, and these bottles will be supplied to hydrogen refueling stations that today are under development and will be installed in the upcoming year.
Ben Schwarz: Great. Thank you, João. Question here around the importance of aluminum to the cost of the HEVO-SOLAR. And also what would an increase in the price of aluminum from current levels impact the levelized cost of hydrogen from a HEVO-SOLAR?
Frederico Figueira de Chaves: So, I’ll take that, Ben. So, that specific component represents about 5% impact on levelized cost of hydrogen. So, the swings on that raw material are not that significant by themselves. However, we have to note and with full transparency that we’ve seen an increase of market prices for raw material across several different components, ranging from both the aluminum, the steel to the membranes and so on. Now, we continue to have the same guidance of targeting green hydrogen levelized costs under €2 in 2023. And particularly even with these current market prices, this is excluding compression purification and then 5 bars for anyone who’s keeping track of those things. But, this is taking into account the grants. What João mentioned before, the previous slides is a tremendous work done by the team of being able to really do a great job of sweeping up and being involved in just about all of the relevant grants available. With that we continue to be delivering to clients and to our own projects levelized costs of hydrogen of under €2, as soon as -- as early as 2023.
Jeffrey Schwarz: Here, I’d just like to jump in again for a second, which is we recognize that we may be in an inflationary environment for some time to come. Inflation may be transitory, but maybe not. And so, part of the conversations that João is having with prospective clients include discussions about whether there are ways for us to share in the upside and in the downside, or have the client share in the upside and downside of the costs of significant inputs, like aluminum or steel. So, we are very mindful of the environment, the cost environment that we’re in now where we are keeping an open mind as to how to be able to meet the needs of our clients, but at the same time, not expose Fusion to -- on its own to potential continued increases in the cost of some of these global commodities.
Ben Schwarz: Great. Thanks. Follow up question there. Comment on -- request for comment on securing production components for deliveries in light of supply chain disruption across the board. 
Frederico Figueira de Chaves: Sure. So, that goes directly to our use of cash in the last two quarters in particular where we’ve made significant down payments to be securing the production line with several of our supply partners in order to do the best we can to make sure that we minimize any sort of disruptions that we have there. 
Jeffrey Schwarz: And here once again, I’d like to jump in to say kind of kudos to the team. We have been casting a wider net for suppliers for key inputs. We continue to be adding to the list of qualified suppliers, the process of qualifying suppliers. It’s not something that happens overnight, because quality is obviously paramount to us. But in this environment of constrained supply chains, it’s important that we have multiple qualified vendors for all of our key components. And that’s something that the team has been working on and will continue to be working on as we head into 2022.
Ben Schwarz: Great. Thanks. Question around the current levelized cost of hydrogen with the HEVO technology at current market prices for raw materials?
Frederico Figueira de Chaves: So we’re not giving the game away completely as we are in negotiations with clients, both on levelized -- on providing technology, but also on hydrogen purchase agreements. So, as a -- given where -- I’ll be a bit -- and the guidance I’ll give, but just to note that with the numbers we’re seeing today for both green hydrogen and other sources of green hydrogen, we believe we’re an extremely competitive solution for hydrogen, not even say for green hydrogen, for hydrogen with what’s going on in the broader markets today. I’d say that -- I’ll leave the guidance with -- in places with high solar radiation, we continue to be aiming and seeing the levelized costs under €2, excluding compression, purification and coming out of system at 5 bars.
Ben Schwarz: This is a question for João, in discussions with potential customers, do you we have a sense that more extensive performance data is important to certain customers to validate the technology in their eyes?
João Teixeira Wahnon: Yes, of course. We see that there’s a need of what clients are asking for track record. We have a track record from the plant of Evora, since it was started production few months ago, and now more recently under full operation. In fact, what we are doing right now in these negotiations with this client is that we are assuming part -- of their -- of the risk of the technology, by assuming to make EPC contract -- a full EPC contract based on performance, meaning that the clients will have -- will make the payment of the full EPC plant whenever it has -- whenever the plant has achieved the performance and the availability that has been contracted. And this way, this avoids a lot of months of track record analysis and allows us to move forward in these negotiations. In addition to that, in some of the clients’ negotiations, what we’ve been doing is that we can offer either tech sales or we can offer them a contract to sell green hydrogen, so call hydrogen purchase agreement. In some of the cases, we negotiate hydrogen purchase agreement with the possibility of field on a transfer. So, the client has the option to buy the project, buyback the project after some months or at least the months, defines as needed to evaluate the performance of the technology.
Ben Schwarz: Question that came in via email, are you looking at the eventual re-purposing of natural gas pipelines to transport hydrogen, or do you expect hydrogen to be a -- primarily a distributed energy solution?
João Teixeira Wahnon: Those are the two types of -- the two possibilities for selling the green hydrogen. Either we produce the green hydrogen and we supply directly to the off-taker, to the industry, and we have to have our plants right beside or at least close to these industries, or we produce the hydrogen. We blend the hydrogen in the natural gas and we inject it in the pipelines. We believe that this is the most important market to commercialize -- the way to commercialize the green hydrogen. Of course, this will allow us to inject all our production in the pipeline and a customer in other countries, for instance, in Europe can buy the certificates of origin from this hydrogen and monetize them in their decarbonization strategy. So, we truly believe that the blending in the natural gas will be the future of the green hydrogen commercialization.
Frederico Figueira de Chaves: I will just add that we are involved in all types of projects, both -- with partners who are repurposing pipelines as well as distributed energy solutions. But just to be clear, we will not be doing the repurposing ourselves. This is -- our role stops at the production of green hydrogen.
Ben Schwarz: Great. Can you discuss any -- or touch on any recent progress on the HEVO Ammonia Morocco project over the third quarter?
João Teixeira Wahnon: Sorry?
Frederico Figueira de Chaves: Updates on HEVO Ammonia Morocco, specifically in the third quarter.
João Teixeira Wahnon: Okay. So, we truly believe the HEVO Ammonia Morocco, it’s a project that will be developed in six phases. In fact, the Phase 1 we assume has only green hydrogen production. It will be a small plant, as I mentioned before, 200 HEVO-SOLAR units -- between 200 and 400 HEVO-SOLAR units. And this is too small quantity of hydrogen to invest in the Haber-Bosch system to produce green ammonia. So, it will be a project just to produce green hydrogen, which will be supplied to an industry located in the Agadir region of Souss-Massa. The second phase, Phase 2, 3, 4, and 5, it will take a bit more time. We can start building the plants by the third quarter of next year. But, in fact, the green hydrogen will be produced to supply an Haber-Bosch system, which the timings for its installation will be never less than 12 to 18 months. So, in fact, it will start construction, Phase 2 of HEVO ammonia, but can only be commissioned by the end of 2023.
Frederico Figueira de Chaves: And the most recent developments of course, would be, extensive interactions with the local region, moving towards licensing process and of course securing the land, as João mentioned, earlier in the presentation.
Ben Schwarz : Great. Thanks. Stick with you João, can you touch on the current state of any projects in some other geographies, for example, Abu Dhabi or Chile?
João Teixeira Wahnon: Yes. In Abu Dhabi, we are involved in conversations with the big developers. There are really big projects being announced in the Abu Dhabi region, in United Arab Emirates. We are in contact with those big players that are developing those projects in Abu Dhabi. In Chile, it’s the same thing. We are in contact with two projects that are under development. Of course, in both cases, Abu Dhabi and Chile, we will act only as a technology sales. The projects that I mentioned of both projects is so big and that this will evolve a strategy that we will need to have local assembly line, to close the modules and to prepare all our HEVO solar technology right besides the plant. So, it involves big strategy. But, the projects -- all these big projects are being announced to start construction ‘23, ‘25. So, none of these projects will happen tomorrow.
Ben Schwarz: Okay. Thanks João. Well, it looks as though -- just check here. It looks like we have reached the end of the questions that have been submitted. So, in the absence of any additional questions, I guess, this concludes our third quarter webcast. If you have additional questions, feel free to contact us directly at ir@fusion-fuel.eu or visit us at our website at www.fusion-fuel.eu. So, thank you for your participation and engagement. As always, we look forward to our next quarterly update. Thanks.